Operator: Good morning, and welcome to the PolyOne third quarter 2008 earnings conference call. Before we begin, the company would like to remind you that statements made during this conference call which are not historical facts may be considered forwardlooking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Forwardlooking statements will give current expectations or forecasts for future events and not guarantees for future performance. They are based on management's expectations and involve a number of business risks and uncertainties, any of which could cause actual results to differ materially from those expressed or implied by the forwardlooking statements. The company recommends that you review updated risk factors in today's press release. During their discussion today, the company will use both GAAP and nonGAAP financial measures. Please refer to the earnings release where the company describes the nonGAAP measures and provides a reconciliation of them to most comparable GAAP financial measures. Now I would like to turn the call over to Mr. Steve Newlin, Chairman, President, and CEO.
Steve Newlin: Thank you to everyone who is joining us on the call this morning after what was no doubt a late night of watching election results on TV. I really welcome the opportunity to speak to you today about the recent performance of PolyOne and also talk with you about the expectations for the balance of the year. Here with me today is our Chief Financial Officer, Bob Patterson. Before I hand the call over to Bob to review the operating results for the quarter, I want to make a few brief comments that I am sure many of you will relate to. It is a tough market out there, without a doubt, and there's tremendous uncertainty on Wall Street as well as on Main Street. I can't recall a time in my career when it's been so difficult to anticipate nearterm business demand, let alone accurately predict the operating results for the next quarter. There's uncertainty in the credit markets, it's harder for people to get a mortgage, there's uncertainty in the commodity markets. After catapulting to nearly $150 a barrel for oil just several weeks ago, oil is now trading at less than onehalf this level. There's uncertainty in global currencies, with the Euro trading as high as $1.60 and down nearly 20% since then. Finally, up until last night, there's been uncertainty about who will lead the United States as our next president. So I hope with at least one of these equations solved, we can move on and global markets and economies can find greater stability. The new PolyOne is certainly no stranger to change. We are relentlessly pursuing our specialization strategy; I think now, more than ever, it's obvious that we need to reduce our exposure to commodity products in traditional, cyclical end markets. We believe that our previously disclosed fourpillar strategy is working. And our efforts are setting the stage for significant earnings leverage when the economy rebounds. In the event that global markets remain uncertain and/or get worse before they get better, the strength of our balance sheet gives us comfort that we will be able to weather such an economic climate. So, with that as a backdrop, I want to turn the call over to Bob Patterson, our CFO.
Bob Patterson: Thanks, Steve. Before I begin, let me preface my comments by saying that unless other time frames are specifically stated or referenced during today's call, we will be comparing the operating results for the third quarter of 2008 to the third quarter of 2007. I am pleased to report that we are continuing to show progress with our transformational strategy, despite a challenging economic environment. For the third quarter of 2008, consolidated sales increased 10.6% to $735 million, including the benefit of acquisition growth and favorable foreign exchange. As a result of special items, primarily related to the manufacturing realignment we announced in July as well as certain environmental charges related to facilities we no longer own, we are reporting a net loss of $5.6 million or $0.06 per share for the third quarter of 2008 compared with net income of $2.3 million or $0.02 per diluted share for the same period a year ago. Excluding special items in both periods, we reported $0.13 per share in the third quarter of 2008 compared to $0.14 per share in the third quarter of last year. Respectable performance, given the rapid deterioration in several of our end markets. These results were modestly better than we had expected back in September, principally due to the fact that Hurricane Ike had a less significant impact on the third quarter results than we anticipated. Our specialty platform continues to outperform the prior year and reported a nearly 47% increase in operating income despite lower international earnings. In addition, operating income from our distribution business increased almost 80%, partially due to favorable pricing trends, but also as new business gains and highermargin markets such as health care replaced declining volume in housing and auto. Unfortunately, we were not able to overcome the decline in the performance products and solutions segment, resulting primarily from continued weak and declining demand in the North America housing, construction, and automotive markets. As a result, we reported lower operating income during the third quarter compared to the same time period a year ago. On a yeartodate basis, earnings per share before special items is flat with the prior year. Again, respectable performance given the extraordinary rise in raw material and energy costs and precipitous decline and demand in several key end markets. In total, specialty platform sales increased 17% to $280 million, reflecting the benefit of the acquisition of GLS as well as favorable foreign exchange. Operating income increased 47% from $9.7 million to $14.3 million. On an organic basis and excluding FX benefits, specialty platform sales were down slightly yearoveryear. However, operating income increased just over $1 million on the same basis. This last point clearly illustrates our focus on innovation, culling unprofitable business, improving sales mix, and accelerating new business gains in highermargin sustainable businesses. A current example of this is our expansion into the health care market, which Steve will speak to in more detail. Our specialty platform operating income improvement was driven by the addition of GLS, as well as gross margin improvements principally in our specialty color additives and inks segment. Specialty color additives and inks added $1.5 million of operating income as a result of new account generation and a more profitable sales mix. Our specialty engineered materials segment operating income improved $5 million as GLS added $5.1 million. Note that GLS third quarter operating income increased over 60% from a year ago when they were a standalone company. Within the specialty platform, our international color and engineered materials segment sales were essentially flat with the prior year. However, operating income declined from $6.5 million to $4.6 million. Excluding a positive impact of $500,000 of foreign exchange, operating income fell $2.4 million due to declining volumes and margin compression from higher raw material costs. As we have noted during our last two outlook updates, weakening demand in Europe continues to be a concern for us; and we are increasingly seeing that concern become reality. Another performance highlight is our distribution platform, which increased revenues 15.5% to $215 million for the third quarter of 2008. Operating income increased $4.1 million or 77% to $9.4 million eclipsing the previous record of $7 million set just last quarter. While we have benefited from certain favorable pricing trends, we continue to believe that we are gaining market share as North American demand has generally declined yearoveryear. Our focus on and heightened investment in commercial initiatives and resources has allowed us to expand our presence in new, highermargin markets such as health care and consumer, which has more than offset declines in automotive and appliance markets. Our third platform, performance products and solutions, continues to be challenged by weak end market demand tied to the current economic environment and continued high raw material costs. For the third quarter of 2008, revenues were flat at $275 million despite a 15% volume decline. Price increases offset some of the volume shortfall; however, they were not enough to offset rising raw material costs, resulting in a 60% decline in operating income from $12.6 million to $5.3 million. While volume certainly contributed to this, we are most disappointed by the challenging price environment in this space. On the surface, these numbers are disappointing; however, we believe that they reflect betterthanexpected performance given the housing and automotive market challenges confronting this business. Housing starts for 2008 are expected to approximate just over 800,000 units, compared to an estimate of 950,000 just two months ago and well short of 1.4 million in 2007 and the alltime high of 2.1 million units started in 2005. In addition, the automotive market is continuing to issue reduced production forecasts, from 16.1 million units last year to a revised forecast of 12 to 13 million this year, the lowest level since the early '90s. This level of production for both housing and auto is not normal, nor is it sustainable. But it is representative of the market challenges we are facing today and in the near term. I now would like to comment on our financial position. During the quarter, we retired $10 million of our mediumterm notes and reduced shortterm debt by $10 million. We borrowed $12 million against our accounts receivable security facility for a total borrowing reduction of $8 million. We also repurchased 1 million shares of our common stock during the quarter. As of September 30, 2008, we have cash on hand of $37 million and immediate borrowing capacity under our accounts receivable securitization facility of $133 million, for total liquidity of $170 million. We have not experienced any issues of being able to access our cash or our A/R facility, and we don't expect any problems moving forward. Pursuant to the capital structure objectives that we outlined when announcing our share repurchase program, we plan to buy back shares from time to time while simultaneously reducing our debt, which is what we did during the third quarter. However, concerns about the current economic crisis have caused us to think even more conservatively about the future use of cash flow with an emphasis on preserving liquidity. I will speak more about this during our outlook discussion toward the end of this call this morning. Before that, I would like to briefly discuss the special items recorded during the quarter. We reported $26.7 million of pretax special items or $0.19 per share. $11.6 million relates to employee severance and plant closure costs in connection with the manufacturing realignment we announced in July. $10.4 million relates to environmental accrual adjustments for ongoing and projected remediation costs associated with facilities either no longer owned or closed in prior years. Finally, we recorded an impairment charge of $4.7 million to write down our investment in a South American joint venture where recent events have caused its carrying value to exceed the net present value of future expected cash flows. I will now hand the call over to Steve, who will discuss our transformation progress.
Steve Newlin: Thanks, Bob. You know as I mentioned at the beginning of the call, this is a really tough market. It's unlike any other that I have ever seen. Many people believe we're headed for a recession if we're not already in one, with even greater debate surrounding how deep and protracted the recession might be. I guess that's a technical decision for others to make. I can tell you it certainly feels like a recession to me. I think many people would agree with me. Consumers are very cautious as evidenced by the decline in consumer spending during the third quarter. Businesses that serve them are also pulling back. Not only has this become apparent to me through our commercial teams who are on the front line every day, but I can also sense that from the tone of questions we receive from investors and analysts who quickly want to understand our cash and liquidity positions. Given the current financial crisis, it is certainly easy to understand how the focus has changed. Investors are worried about survival, and I don't blame them. Recent events have shown that not every company is going to survive the current economic slowdown, and more may fail before things get better. Last year, we made the prescient decisions to sell our joint venture in Oxyvinyls and use the proceeds to retire our highyield debt. This was very impactful. It was very impactful to our income statement as well as our balance sheet. As it stands, we reported yeartodate EPS before special items flat with the prior year. I feel comfortable with our financial position. Previously Bob mentioned our cash and debt positions indicating that we have adequate liquidity to fund seasonal working capital requirements and capital expenditures. More importantly, we have the strength to weather a prolonged economic slowdown if necessary. With that being said, this is not a time to feel at ease. I have called upon the PolyOne leadership team to cut back substantially on discretionary spending and to raise the standard for payback requirements on capital appropriations. Today, we are projecting to spend less than $55 million on capital expenditures for the year. That includes the additional capital required in connection with the manufacturing realignment we announced in July, as well as continuing to expand our operations in India, which are important investments to our future. We are not going to do anything foolish. And we have to find the appropriate balance between longterm investment and shortterm results. We are being more conservative with our cash, and this is one example of that. As we mentioned in our earnings release, we're disappointed in our earnings before special items fell short of last year by a penny a share. However, when you consider our operating income from our performance products and solutions segment dropped nearly 60% and equity income from our Sunbelt joint venture dropped 14%, our reported results seem quite respectable. As we mentioned in our recent outlook update, we are concerned that the economic slowdown we've observed in the U.S. may be deeper and more prolonged than previously anticipated. It certainly appears to be spreading around the world. We believe this was confirmed with our third quarter results where performance products and solutions experienced demand declines consistent with that of the first and second quarters of 2008, as well as further gross margin compression. I am disappointed in our inability to get meaningful price increases in this business to overcome increases in raw material costs in this segment. Our international segment reported operating income below last year's third quarter and below the first and second quarters of 2008. Where we had previously experienced relatively flat volumes in the first half of the year compared to prior year, third quarter volumes fell approximately 10% versus the prior year. We have seen a reduction in volumes in nearly all end markets in Europe and Asia and only our low smoke, halogen-free products showed volume improvements yearoveryear for the third quarter. This slowdown may continue for some time, and we have to be prepared for that. We are not going to change our strategy. We're going to continue to focus on the four pillars of specialization, globalization, commercial and operational excellence. However, we are changing the pace of our investment until things improve. The current downturn and the cyclical nature of our traditional end markets, coupled with the price-sensitive nature of our commodity businesses only serve to reinforce the need for transformation and validate our strategy. For those of you following our stock and our longterm investors, you know we're transforming PolyOne into a specialty company. Given the economic environment we are experiencing today, it's going to take longer than previously expected, but we remain absolutely convinced that the actions we have taken are working and our results demonstrate our success. Our progress in the health care market is a great example of our strategy in action. During the first nine months of 2008, our health care customer revenues of $142 million represented an increase of approximately 29% over the prior year. In fact, yeartodate revenues from health care customers exceeded revenues from health care during the entire year in 2006. Our active sales projects in this market have increased by over $200 million since the end of last year. Our efforts to globalize the new health care business team allow us to build strong momentum with new programs and technologies focused on metal and lead replacements, medical device innovations, and the ability to reduce medical product costs associated with surface preparations. We've invested in and lifted the skills of our global sales force to be more effective at pricing, selling, and capturing value. What I really like most about our success in the health care industry is that it illustrates our focus on winning new business in attractive new markets, a key element of our commercial excellence strategy. For the first nine months of 2008, our companywide new business closes have outpaced reported lost business by approximately $300 million. More importantly, within the specialty platform, this new business is generating gross margins that meet our objective of a minimum of 25%. One of the reasons we've been successful in growing new business has been the rate of new product introductions. Our vitality index has increased to 17% of sales versus 13% in 2007. This is a direct result of advancements in research and development as well as improved sales force training. We're teaching our sales force to understand our customers' needs and go beyond our current product portfolio in addressing that. We're also working hard in seeking solutions that are environmentally friendly. In September, we received the Frost and Sullivan Green Excellence of the Year Award for 2008. Frost and Sullivan has long been known for recognizing best practices in industry. We were honored to receive the first award ever given in this category. Frost and Sullivan's Green Excellence Awards have been presented to companies that excelled in green product and technology innovation and service achievements that promote sustainability. These awards recognize groundbreaking ideas and innovations that originated from a firm sense of environmental responsibility across a multitude of disciplines. Recipient companies are committed to a continuous focus on reducing their dependency on nonrenewable resources, decreasing their impact on climate change, and diminishing their overall ecological footprint. Frost and Sullivan's team of analysts track companies across all industries and assess their individual green initiatives; and award recipients are selected only after a very vigorous research is performed. This award underscores PolyOne's strategic focus on innovative, sustainable solutions that benefit both customers and the environment. Specifically, PolyOne was recognized for its leadership in the development of sustainable programs and services including the company's unique packaging system and the company's benchmark No Surprises pledge, which outlines PolyOne's commitment to helping customers grow their business with safe and environmentally sound solutions. Really to say it more simply, PolyOne was recognized as a company who's actually doing something about green not just preaching about it. Another example of our leadership in creating sustainable and environmentally friendly products is our recently announced collaboration with Archer Daniels Midland Company. This was done to jointly develop biobased plasticizers for use in polymer formulations. Last quarter, we discussed our license of Patel technology for biobased plasticizers. This is the next step toward developing and commercializing viable candidates for the polymer industry. Plasticizers are used primarily to make plastics softer and more flexible. The global plasticizer market is an estimated $11 billion industry and is comprised mostly of petroleumbased products. The goal of this alliance is to develop and commercialize biobased plasticizers from corns and oil seeds. Clearly, PolyOne is committed to innovation. We're excited to have GLS as part of our specialty platform. They have a long track record of creatively assisting their customers with new and unique products. As I have often said, GLS has been a great acquisition in many ways; and we're learning from them about how to be a specialty company. They serve attractive end markets that have helped us grow our specialty platform with highermargin sustainable business. This has never been more obvious than the third quarter when GLS reported $5.1 million of operating income, more than 60% higher than the third quarter last year when they were a standalone company. Specialty color additives and inks also enjoyed a great quarter, reporting operating income of $4.7 million. That's a new record. They have been able to do this by improving customer mix, culling unprofitable business, and eliminating excess cost. This is a great example of the success of our specialization strategy as well as commercial and operational excellence initiatives. As I have said before, the specialty platform is becoming the growth engine of this company. But we are embracing the pillars of change in all of our business. Our PolyOne distribution business delivered stellar performance this quarter with on time deliveries exceeding 95%. While we certainly benefited from some favorable pricing trends, we are also benefiting from an improved mix of end customers as we have been taking share of new industries such as health care and consumer products, offsetting declines in housing and automotive businesses. Our sellers are equipped with tools to help our customers improve their profitability by reducing customers' total costs. When we combine these solutions with new and innovative products and services, we create customer loyalty and everybody wins. That's never been more important than it is today. Our specialty focus has allowed us to weather thus far an incredibly difficult market, one that may get tougher. As you likely know, in July we announced plans to reduce manufacturing capacity and realign assets primarily in North America, where we believe and know we have excess capacity. These actions are proceeding according to our previously disclosed time frames, and we continue to expect that they will deliver $17 million of annualized savings when complete. We will look to accelerate these actions where possible. We won't do so at the expense of customer service and quality. As I said last quarter, actions like these are never easy. This capacity reduction is needed to improve our nearterm operating efficiency while advancing our longerterm strategic position. PolyOne's realignment reaffirms our commitment to creating value for employees, customers, and shareholders. With that, I will turn the call back over to Bob to comment on our outlook for the balance of the year.
Bob Patterson: While our results for the third quarter were modestly better than anticipated, our fourth quarter earnings may fall short of our previous expectations. Accordingly, it may be a challenge to deliver full year earnings per share before special items within the range of guidance we provided in September. There are a number of factors contributing to our revised assessment while predominantly we are concerned about the recent deterioration in the global economy. We expect further pressure on our international results. First, as it becomes increasingly clear that European and Asian demand is slowing and, second, due to the recent weakening of the Euro relative to the U.S. dollar. Additionally, the U.S. economy is under tremendous strain on the heels of the global financial crisis creating significant uncertainty over the next few quarters for our customers. In particular, such key PolyOne end markets as housing, construction, automotive, and electronics face particularly troubling business conditions which we expect may reverberate through our other markets as the global economic slowdown gains momentum. In reaction to the uncertainties described above, PolyOne is taking actions to reduce spending and preserve liquidity. As Steve already mentioned, we have reduced CapEx and without limiting spending related to the realignment, we are now forecasting to spend less than $55 million for the year, which approximates 85% of depreciation. I would also like to add that the fourth quarter is typically our strongest cash flow quarter, and we expect that to be the case this year. Given our concerns about the economy, we will be focusing on applying free cash flow first to require shortterm debt repayments and, second, to insuring we have adequate liquidity to fund seasonal working capital requirements. We will then consider additional capital expenditures beyond maintenance levels prior to furthering our overall capital structure objectives. With respect to our current capital structure, we expect to reduce shortterm borrowings by yearend while maintaining approximately the same level of liquidity. We have $20 million of longterm debt due in each of the next two years, 2009 and 2010, which is well below our historic range of free cash flow. Finally, our credit facility and accounts receivable securitization facility do not mature until 2011 and 2012, respectively. In short, we believe that if market conditions get worse before they get better, we are confident that we have the balance sheet strength and liquidity to manage through such a scenario. Now I will hand the call back to Steve for some final remarks.
Steve Newlin: We covered a lot of ground here, and I would like to summarize by saying there's no question we're concerned about the nearterm economy and that things may get worse before they get better, and you all know that. Earlier in the year, we were cautious about a slowdown in Asia due to lower exports in the U.S. In our last two outlook updates, we expressed concern about a slowdown in Europe, which is clearly upon us now. Now we believe that Asia may slow even further as a result of decelerating global production. These prevailing market conditions have caused us to take immediate actions to control spending and limit capital expenditures and focus on improving working capital as has been discussed thus far in this call. I would like to thank all of PolyOne's employees for their tireless resolve and commitment to take these necessary shortterm initiatives, while at the same time remaining vigilant in our common goal to transform PolyOne. We have to balance our longterm goals and objectives with the immediate desire to preserve cash and liquidity. I am very confident in PolyOne’s leadership team and employees. We have never had a better or more capable management team to lead us through the near term economic downturn, while also guiding our longterm transformation process. Even with the prevailing headwinds, we are winning new business every day by providing our customers with new and innovative products, services, and solutions. We are going to continue to focus on specialization, globalization, commercial, operational excellence as the four pillars of our strategy. We believe that PolyOne is well positioned, not only to survive this downturn, but to emerge from it as one of the strongest players. Our balance sheet strength, our management team, global footprint, and growing differentiated and environmentally friendly product portfolio provide one of the strongest positions in the polymer industry. If the stock market is truly forwardlooking, I hope investors will think of PolyOne has best in class as they position their portfolios for an economic recovery. I am going to turn the call back to the operator to open the line for questions.
Operator: (Operator Instructions) Our first question is from Saul Ludwig KeyBanc.
Saul Ludwig KeyBanc: Bob, I wonder if you could talk a little bit about the effect of FIFO accounting and how that may have helped you in the third quarter because of a period of rising prices. You want benefits from FIFO accounting. Then, when we go the other direction, is there a reverse effect, particularly maybe as it affected your distribution business, but other businesses as well? In looking at your outlook, how are the declining selling prices for resins and FIFO accounting going to impact you?
Bob: Without disclosing exact order of magnitude that would be a rough estimate. It did benefit us in the third quarter, and you can see that in our distribution business perhaps more clearly than the others. But you're right in that we will see a negative implication from a downward pricing environment in the fourth quarter and beyond if prices continue to decline. That is part of the expectations we have for the balance of the year and one of the reasons why we see that as a challenge to meet our prior earnings expectations.
Patterson: Without disclosing exact order of magnitude that would be a rough estimate. It did benefit us in the third quarter, and you can see that in our distribution business perhaps more clearly than the others. But you're right in that we will see a negative implication from a downward pricing environment in the fourth quarter and beyond if prices continue to decline. That is part of the expectations we have for the balance of the year and one of the reasons why we see that as a challenge to meet our prior earnings expectations.
Saul Ludwig KeyBanc: My other question is any early thoughts on cap spending for next year relative to somewhat less than $55 million for this year?
Bob Patterson: It will definitely be less than that number. We are conducting a thorough review of our capital appropriations for next year. I will tell you that our maintenance levels are around $20 million to $25 million. We will be giving a great deal of scrutiny to any projects beyond that next year.
Operator: Our next question comes from Michael Judd Greenwich Consultants.
Michael Judd Greenwich Consultants: I just wonder if we could have a little bit more granularity in a couple of areas where it looks like things might be rolling over a little bit. You definitely got a benefit from hurricanerelated issues in your distribution business in the September quarter. I wonder if you could talk a little bit about volumes and any other pertinent issues in that particular segment of the December quarter so we can make sure that we understand seasonality, but also the hurricane impact and how that would have impacted profits and volumes in the September quarter. Then just lastly, are you implying, and I haven't updated my files yet, are you implying that we might see a breakeven to negative EPS number for the December quarter? Is that kind of where we're going?
Steve Newlin: Let me tackle the first part and then I will let you have the other part, Bob. I am not sure where you concluded that we had a benefit from the hurricanes in distribution. We were more concerned about adverse effects from it because it did affect our plants in Seabrook and Pasadena, Texas. Both of those plants were impacted. We got through it more quickly than we anticipated. There were some supply disruptions. In some cases, we had difficult times securing supply to compound products for our customers. Really, the impact on distribution was not really noticeable. We couldn't relate any of distribution's performance in the quarter of any substantial magnitude to the hurricanes.
Bob Patterson: I would add that the most significant impact during the quarter as a result of the hurricanes was our Sunbelt, the joint venture, which was forced to declare a force majeure in about the third week of September. In terms of volumes, what we saw in distribution for the third quarter was really relatively flat volumes. As we mentioned during the call, we have seen a decline in general demand in our traditional end markets, but that has been offset by growth in other markets such as health care.
Michael Judd Greenwich Consultants: Just the last question for some clarification, I realize it's very difficult, there's so many moving pieces here. You got currency, you've got everything else that's going on. Just some sort of thought on whether it will be negative for EPS on an absolute basis or breakeven or any thoughts along those lines?
Steve Newlin: It's very hard to predict, and that's one of the reasons why we're giving the guidance that we are. We certainly see the fourth quarter as more challenging than we did in September. That is principally due to the continued weak demand in North America markets, where we're seeing unprecedented volume declines in our performance products and solutions segment; and we continue to see declines in international. Yes, if you just follow the simple math of what we've earned yeartodate EPS before special items which approximates $0.33 and our new projection is that it will be a challenge to get within a range of $0.36 to $0.41, you can deduce what our thoughts are on the fourth quarter.
Operator: Our next question comes from Mike Harrison First Analysis.
Mike Harrison First Analysis: In terms of the restructuring plans as they've currently progressed, how much of that $17 million in analyzed savings should we expect to see in 2009?
Bob Patterson: We expect to hit the $17 million run rate by the end of the second quarter. I would say that the current thinking is around $12 million for 2009.
Mike Harrison First Analysis: Then looking at the SG&A costs excluding the special items, it looks like you came in below 8% of sales. I know in the past you had talked about additional sales, marketing, and technical resources that you thought were going to keep that number as a percent of sales closer to 10%. What is it exactly that we're seeing happen here in the third quarter? Are you guys scaling back on some of those additional resources that you have been investing in over the past year or so?
Steve Newlin: I don't think we're wavering from sort of longterm rate of around 10%. We think that's what the business generally needs, and that will change as the portfolio mix changes, but needs to sustain the kind of growth that we expect. We had benefits in the quarter from two things. We have scaled back our spending. We have stopped our incremental hirings. So we're hiring replacements. We're not making ads right now. We just don't think it's prudent to do when we look out and can't see through all the clouds right now. The second thing that really helped us, and it's not something I am pleased with, but the facts are that AIP accrual reversals came in lower than planned and so some of the bonus accruals were reversed during the quarter. That's what helped lower it. Bob, you have some other things to add?
Bob Patterson: Just to put it on a run rate perspective basis, I would say as you look at Q2, or Q1, Q2, and Q3, for example, as Steve mentioned, our incentive accruals were reduced. We had a benefit of about $1 million in the third quarter as a result of that versus expense of $5 million and $6 million in Q1 and Q2, respectively.
Mike Harrison First Analysis: In terms of the sales growth number, 10.6%, what was that if you exclude FX and the impact of the acquisition?
Bob Patterson: The organic piece of that for the quarter was 3.5%
Operator: Our next question comes from Christopher Butler Sidoti and Company.
Christopher Butler Sidoti and Company: I was hoping you might be able to talk a little bit about your move towards more specialized products. I noticed in the quarter that if we X out the GLS acquisition, for the first time it looks like the remaining portfolio kind of took a step back as far as operating profit. Could you give us an idea of how things are progressing there? What we are looking at in the quarter? Is this just weakness or are customers downplaying or moving away from more sophisticated products?
Bob Patterson : I will make a comment, and that is you are right, there has been a step back in the focus just on the specialty engineered materials business, but the composition of that is actually different than the comment that we made in the second quarter, where we have seen a trend of North American engineered materials being the driver of that. In this quarter, it's actually a European base. There's a European TPE component of specialty engineered materials. That's really what took a step back in Q3. We did make some small progress in North America engineered materials for the first time. That's actually a positive. Those numbers are really very small when you compare it to obviously the contribution of GLS.
Steve Newlin: I think it's getting a little hard to specifically break apart GLS because we are benefiting from not only a great company that's well led, but we are getting some synergy and some of that is top line synergy. I would just say that the big reason that specialty X GLS was not growing during the quarter, we did find our North American color business did well. The problem was the international, both Europe and Asia. The Asian element of the business was really slowing in engineered materials, where they're very much electronics related. This is a market that we do like long term, but boy, if you are not building machines and you're not producing them, you can't sell a lot of compounded resin applications into this space. That's exactly what's happened to us in a big way in Asia as well as just the general across-the-board slowdown in Europe. If you look at our business, remember, 95% of Europe and Asia is what we categorize as specialty.
Christopher Butler Sidoti and Company: Just quickly, what was the average price you repurchased shares at?
Bob Patterson: $7.93.
Operator: Our next question comes from Rosemarie Morbelli Ingalls & Snyder.
Rosemarie Morbelli Ingalls & Snyder: Looking at the international and color and engineered material, I understand that Europe and Asia are kind of difficult at the moment, but the 3% operating margin is rather dismal. Looking back fourth quarter is sequentially lower in terms of profitability. Was there something specific in the third quarter in order to get that 3% margin? And if that was the case, should we kind of buck the trend in Q4 and show a little improvement sequentially? Is there something you can do about that? Or the sequential margin will be historically lower as in the past?
Steve Newlin: As we said in the beginning, one of the reasons we do have revised expectations for the balance of the year is a continuation of what we've seen in the third quarter going into the fourth quarter. I will point out that in the third quarter, the international business did have a volume decline of about 9% where it had been relatively flat in the first two quarters of this year. So we're seeing a demand decline in the third quarter that we had not previously seen this year. Our expectation is for that to continue to the fourth quarter. I think it's reasonable to make the assumption that I think you're arriving at, which is that our fourth quarter will be challenging internationally compared to last year.  We're suffering from some reverse leverage that you have when you see demand decline like this. The good news is we'll get tremendous operating leverage when demand picks up. And we're going to do the best we can to manage through this downturn and manage costs out wherever we can. And take capacity out when we have opportunities to do so that won't hurt our longterm prospects. But I would say, you know, if you haven't, I don't think this problem is unique to PolyOne. We may be a little bit early. We were early to talk about Asia at the first quarter. We started talking about Europe in the second quarter. I don't think it's unique to us. I think there are very real and very sudden slowdowns throughout the globe, and Europe is showing it in a very large way and it's a big piece of business for us. I think there's a lot of conservatism that is built into their order pattern. I think that the inventory that's typically kept on hand is being kept to an absolute bare minimum. Of course, we suffer from that. That's where we are in Europe. Nothing unusual happened. We didn't report any additional major losses of business. Our pace of new business development was pretty much on par with what we've had all year. But we just saw far fewer orders from our existing base customers. That's what caused the problem in international.
Rosemarie Morbelli Ingalls & Snyder: Do you have a feel for how much inventory is at your customers, whether it be in North America or overseas and whether that level could affect not only the fourth quarter, but also Q1 and maybe Q2 of next year?
Steve Newlin: That's a great question. I wish we had better visibility throughout the channel and a better understanding of inventory on site. That's something we want to work on long term because frankly, we think we could help our customers by helping them manage their inventory. At this point, we don't have that level of sophistication. We just have sort of the anecdotal stories and the observations that our sellers make out there, and the discussions they have with customers to help us understand that most industries today are being, just as we are, very conservative with their cash, very careful to build up inventory. I think it's probably exaggerated even further in this specific period, because with oil prices dropping, the belief that that's going to cause resin prices to drop substantially, people don't want to be holding assets that are going to devalue, especially at the rate they go through them. I think we're probably getting, I can't promise you, I can't verify it, but I think we're probably also getting a little bit of impact from people hoping to collect the next order at a price that is lower than the last one.
Rosemarie Morbelli Ingalls & Snyder: If I may ask one very quick question, could you speak to us of the revenue growth of 10% between volume, price mix, currency, and acquisition?
Bob Patterson: I won't get all of those, but I will break it down as follows. 10.6% is comprised of 2% FX, 5.1% GLS, and 3.5% organic.
Operator: Our next question comes from Roger Smith Merrill Lynch.
Roger Smith Merrill Lynch: Oxyvinyls is apparently Sunbelt's sole customer, chlorine customer. Does Oxyvinyls have to take Sunbelt's chlorine as long as Oxyvinyls doesn't have a force majeure? Or does Oxyvinyls treat Sunbelt as a swing chlorine supplier?
Steve Newlin: That's a very good question. Unfortunately, the nature of our contract doesn't allow us to get into the details of it. I will say that clearly the primary source of offtake for Sunbelt is Oxyvinyls. I think beyond that we are not at liberty to disclose any of those other terms related to the contract. I am sorry about that.
Roger Smith Merrill Lynch: Given your plans to deemphasize your commodities, how will that manifest itself? Will you be looking at divestitures, JVs, underinvestment, further plant shutdowns or perhaps some other alternatives?
Steve Newlin: In business today, if you close your eyes and pause for a long time, you will miss opportunities. So we're always going to be looking at all of the above. That's just sort of how we conduct our business here and challenging ourselves to think about our business differently and keep and eye toward the future, but recognize we need to get through today as well. I would say that we have gone conservative at this particular moment in terms of acquisitions. I will also tell you that there are times to sell businesses and there are times when you just aren't going to extract much value for them. I think we're in that period right now. So, I think that you could expect probably not a whole bunch of action in the near term. But as things improve, as we get more comfortable with the future, if we find opportunities to acquire or divest of businesses that may not be long term fits of the portfolio, rest assured we will give them all the utmost consideration.
Operator: Our next question comes from Ivan Marcus KeyBanc.
Ivan Marcus KeyBanc: Just a quick question. [inaudible] a 10% move in the Euro, how does that effect EPS or, actually, how much did your operating income benefit from foreign exchange this year?
Bob Patterson: I will just answer it on a fluctuation basis. You can assume on a pretax standpoint, it's about $2 million to $3 million.
Ivan Marcus KeyBanc: For a 10% move?
Bob Patterson: Right. On an annual basis.
Ivan Marcus - KeyBanc: Then real fast. This may have already been asked, you have done a great job improving margins in specialty business yearoveryear. Looking out at 2009 and declining volume and in light of what you're doing in health care and the green products, and declining volume with raw materials falling, are you able to keep price and maybe improve margins next year or do you think that will be a challenge? How do you expect to do that?
Steve Newlin: One of the things I would say about that is clearly our specialty business has far more opportunity to keep price because we're not just talking about the pellets, we're talking about the applications and what they do and those are the conversations that we're having. And Bob will have a couple of remarks on this as well. Really, to address the question properly and how it's going to impact us, there are several things that you have to consider. The first one is PolyOne was not able to fully price in the previous raw material inflation evident in particularly in our performance products and solutions segment. So there appears to be an industry acceptance of pricing levels that we think are unsustainably low in the PP and S segment. Given this, there could be downward price pressure as pricing falls. I will tell you, we can't give away what we didn't get. In PP and S, we didn't get our share of pricing and that compressed our margins. Second, in our distribution business, that business is going to be challenged to manage is timing of its inventory purchases related somewhat to Saul's earlier question. It could be adversely affected if it gets pinched between customers requesting a price decrease that ahead of the actual purchase supplier cost reductions. So we're managing through that. We can't ignore the impact of unprecedented demand declines in our performance products and solutions business that may overshadow any benefit that we receive from lower raw material costs. So specialty is absolutely the best place for us to get and hold our pricing. I got to tell you, our smart customers want us to succeed. Because they know that we can't provide service, quality, on time delivery, or new offerings if we don't succeed. They may push us hard and that's their job, but they also understand that we have a business to run as well. Remember also, as I mentioned earlier, our new specialty business is coming in in the 25% plus gross margin range. That is our longterm goal that is above our existing base business, so we're demonstrating that we can succeed with that kind of pricing in the market where we have these differentiated offerings. Those would be my comments on this whole pricing and will we hold it question. Bob, you may have some other remarks.
Bob Patterson: I think that was well said. I wouldn't add anything else, unless you had any further questions.
Operator: We have another question from Bob Amenta JP Morgan.
Bob Amenta JP Morgan:  Couple of questions on cash flow items. Looking at the cash flow statement, there's two line items for environment, obviously implying that you expensed more than you are actually spending in cash, 14 versus 8, I guess yeartodate. What, going forward, can we expect? Would we expect cash and expenses to be in line or would there be material differences that we might want to add or subtract some of that? 
Bob Patterson: I think it's generally fair to assume that your cash and expense will be in line on the four bases.
Bob Amenta JP Morgan: Then I guess similar on the pension line, there, contributions to pension, 25 yeartodate, does that mean that the cash component has been $25 million more than the expense yeartodate? How would that play out over the next?
Bob Patterson: That's why we're required to fund our pension obligations in accordance with the pension reform act, which has us fully fund those be 2015. Based on our yearend 2007 pension asset valuations, that meant that our cash funding was, in fact, in excess of our P&L expense this year.
Bob Amenta JP Morgan: Do you expect in Q4 a meaningful difference between the cash and expense items?
Bob Patterson: It will be for the most part, I think you can see that in our 10Q in terms of how much we have actually funded to date. Which on the pension side is about $18 million. I will tell you that Q4 will not be appreciably different than the first part of this year. Like a lot of companies, I am sure they're all looking at their pension assets right now and thinking forward, we're going to be seeing some challenges in 2009 and beyond if we don't see improvements in our pension assets between now and the end of the year.
Bob Amenta JP Morgan: Lastly, on working capital, I know you said it would be a source. Have you guys put any numbers around the fourth quarter and what you might expect between raw materials going down and just the general seasonality and what you might expect to pull out of working capital this year?
Bob Patterson: We haven't provided a number on that, but I would say that seasonally, it is our strongest quarter and we are expecting to see the same thing this year.
Steve Newlin: We have time for one more question. We have an allemployee meeting that's starting after this, so I don't want to keep our team waiting. I want to finish up with this call on time. Let's have one final question.
Operator: Your last question comes from Mike Harrison First Analysis.
Mike Harrison First Analysis: I just had a couple of followups. I know that earlier this year, you were starting to get concerned about receivables and bad debt expense. Can you give us a sense of how much worse that situation has gotten recently? Have you taken any further steps to insulate yourselves from losses due to customer credit issues?
Bob Patterson: Bad debt expense, so far this year, is about $3 million higher than it was last year. However, writeoffs are relatively flat and about $3.5 million each year. What that reflects is some additional conservatism on our part in terms of what we think might be at risk in the future. I would remind you that we did take out credit risk insurance at the end of last year for our distribution business, which could potentially have the greatest exposure to receivable issues. And we have benefited as a result of having that insurance this year. It's like that is one action item that we have taken. We're certainly becoming more cautious relative to certain end markets in the U.S., principally automotive where we've got exposure to big three and they're suppliers. That's well underway.
Steve Newlin: We're spending a lot of time on this. We're being more conservative to the point of not accepting some orders that we think are risky. I can tell you that it's clearly on the radar screen. It has been, but we've fortified our efforts around this. I think we're doing what we can to minimize our exposure here.
Bob Amenta JP Morgan: Quickly you mentioned that you're increasing your payback period requirement. I am wondering if you could tell us what that requirement is? And maybe talk about any of the projects that you're seeing fall by the wayside as you scale back on CapEx plans?
Bob Patterson: Historically, if you just look at our key objectives that we set last year for 2011, we're trying to achieve a return on invested capital of 15%. We have been using that as an internal rate of return threshold. I would say that if you think about that if payback terms, we're trying to increase that by at least twofold, looking at projects that help us try to generate cash in years one and two. I am not going to specifically discuss any projects that have been delayed as a result of that decision.
Steve Newlin: Thank you all for joining us today. Good success to you for the rest of the day, thank you very much for your participation.